Operator: Good morning, and welcome to the WESCO Fourth Quarter and Full Year 2011 Earnings Conference Call. All participants will be in a listen-only mode. (Operator Instructions) After today’s presentation, there will be an opportunity to ask questions. (Operator Instructions) Please note this event is being recorded. I would now like to turn the conference over to Dan Brailer, Vice President of Investor Relations. Please go ahead.
Dan Brailer: Thank you, Denise. Good morning, ladies and gentlemen. Thank you for joining us for WESCO International’s conference call to review our second quarter financial results. Participating in the earnings conference call this morning are the following officers: Mr. John Engel, Chairman, President and Chief Executive Officer; and Mr. Richard Heyse, Vice President and Chief Financial Officer. Means to access this conference call via webcast was disclosed in the press release and was posted on our corporate website. Replay for this conference call will be archived and available for seven days. A supplemental financial presentation has been produced, which provides a summary of certain financial and end market information to be reviewed in today’s commentary by management. We have posted this presentation on our corporate website and filed it with the Securities and Exchange Commission. This conference call may include forward-looking statements and, therefore, actual results may differ materially from expectations. For additional information on WESCO International, please refer to the company’s SEC filings, including the risk factors described therein. The following presentation may also include a discussion of certain non-GAAP financial measures. Information required by Regulation G with respect to such non-GAAP financial measures can be obtained via WESCO’s website. I would now like to turn the conference call over to John Engel.
John Engel: Thank you, Dan, and good morning everyone. Our fourth quarter results are strong and close out an excellent year. Organic sales net of acquisitions and foreign exchange grew 15% in the fourth quarter marking the sixth consecutive quarter of double-digit organic sales growth. Notably organic sales to customers in each of our industrial, construction, utility and CIG end markets grew double digits versus prior year. Construction sales in the United States were also up double-digits and grew 16% despite continuing weak construct end market. Sales of our communication products grew approximately 8% quarter versus prior year. For the full year, we delivered record sales of over $6.1 billion, which were up 21% driven by organic sales growth of 14% plus contributions from our telecom, TVC, RECO and Brews acquisition. In addition, we delivered double digit organic sales growth results for the full year in each of our three largest end markets: industrial, construction and utility. Our first quarter 2012 is off to a solid start with double digit organic sales growth continuing in January. Consistent execution of our sales growth and margin improvement initiatives have translated in a strong financial results. For 2011, operating margins were 5.4% and EPS was $3.96, up 120 basis points and 58% respectively versus prior year. The operating margin expansion was driven by a balanced contribution of gross margin expansion and operating cost leverage. Gross margins were at or above 20% in all four quarters of 2011 highlighting a continued effectiveness of our sales and marketing programs and a positive impact of our margin improvement initiative. These results achieve the targets we outlined in our Investor Day in August of last year. Our investments are clearly paying off. Effective execution of our growth strategy continues and we are pleased with the positive momentum and improved profitability of our business in 2011. I am very proud of the extra effort and results delivered by our One WESCO team of associates around the world and I would like to thank them for their dedication and commitment in serving our customers. On January 4th, we completed the acquisition of RS Electronics, our fifth acquisition over the last 18 months. These five acquired companies had annualized sales of approximately $450 million as of their respective closing dates. With liquidity increasing to over $500 million and leverage dropping 2.3 to start the year, we have the capacity and financial flexibility to continue to fund our strategy of above-market organic growth plus accretive acquisitions. Our acquisition pipeline remains robust and we see excellent opportunity for acquisitions to further strengthen our portfolio. In summary, we enter 2012 with a stronger and more diverse business with respect to customers in end markets, products and suppliers and geography. The strength, diversity and operating leverage of our enterprise position us well in our global markets. We are continuing to invest in our eight growth engines and our six margin and productivity initiatives. Our long term outlook remains unchanged. We expect the economy to continue to recover slowly over the next several years. Our 2012 target of 7% to 11% top-line growth, sales growth, including a 2 to 3 percentage point contribution from acquisition and 20% to 25% annual net income growth remain intact. We are focused on building on the positive momentum across WESCO as we continue to execute our One WESCO growth strategy from 2012, and I'm very confident in our team's ability to produce excellent results again this year. Now, Richard Heyse, our CFO, will provide details on our fourth quarter and full year 2011 results as well as our outlook for 2012. Richard?
Richard Heyse: Thank you, John. Good morning. First, I will discuss our fourth quarter and full year results, then I will discuss Q1 2012 and full year 2012 outlooks. We are very pleased with our fourth quarter and full year results and we expect 2012 to be another solid year for WESCO. Our fourth quarter sales increased 19.4% compared to last year including 6.2% positive impact from acquisition. In addition to the impact from acquisitions we had one less work day in the fourth quarter which negatively impacted sales by1.6%. there was no material foreign exchange impact on sales in the quarter. Our normalized organic year-over-year growth for the quarter was therefore 14.8%. As John noted, we saw strength in all four of our end markets and this is our sixth consecutive quarter of double digit year-over-year organic sales growth. Year-over-year price increases for the quarter had an estimated positive impact of approximately 2% and an estimated positive impact of approximately 3% for the full year. The growth from acquisitions was driven by three acquisitions. RECO with sales of approximately $25 million was acquired on March 15th, 2011, and Brews Supply with annual sales of approximately $50 million was acquired on October 3rd, 2011. TVC with sales of approximately $300 million was acquired on December 16th, 2010. Sequential sales for the fourth quarter increased approximately $9 million or 0.6% and were up 2.2% after adjusting for the one less workday in the fourth quarter. Our sequential sales growth rate was above the top-end of our historical range. In addition, of the favorable impact of Brews Supply, we believe this growth was due to market share gains, and generally favorable weather conditions across North America in the fourth quarter. For the full year, sales were a record at $6.13 billion, 21% increase over the last year, which includes 6.8% increase from acquisitions, and 0.8% increase from foreign exchange. One less workday in 2011 reduced full year sales by 0.4%. Normalized organic sales growth for 2011 was therefore 13.8%. Our fourth quarter gross margin was 20.6%, an increase of 30 basis points year-over-year due to a favorable mix and a favorable impact sales growth at our supplier volume rebates. This marks our fifth consecutive quarter with gross margins at or above 20%. For the full year gross margins were 22%, an increase of 50 basis points over the last year and 70 basis points over 2009 models. We are pleased with the progress we have made on our margin expansion initiatives in a very competitive pricing environment, including the favorable impact driven by acquisition strategy of pursuing higher margin businesses. SG&A expenses for the quarter were $228 million or 14.3% of sales compared to $204 million or 15.2% of sales in the prior year quarter. Approximately $11 million or 46% of the year-over-year SG&A increase was related to our TVC, RECO, and Brew Supply acquisitions. For the full year, SG&A expenses were $872 million or 14.2% of sales versus $764 million or 15.1% of sales in 2010. Approximately $47 million or 44% of the full year SG&A expense increase was related to the acquired businesses. In 2011, as our results demonstrate, we have been judicious in our SG&A investments and have maintained overall cost discipline, while simultaneously investing in our growth engines and productivity initiatives. Operating profit for the fourth quarter was $91.5 million or 5.8% of sales, up 52% or 130 basis points over the last year’s operating profit of $60 million or 4.5% of sales. For the full year, operating profit was $333 million or 5.4% of sales, up 58% or 120 basis points compared to $211 million or 4.3% of sales in 2010. Our goal for 2011 was to increase operating margin by at least 40 to 60 basis points, through a combination of gross margin expansion and fixed cost leverage. Our 2011 results were significantly above those target levels. Operating profit pull-through measured by year-over-year incremental operating profit dollars divided by year-over-year incremental gross profit dollars with a financial metric WESCO to gauge the effectiveness of our operating disciplines. Our reported fourth quarter operating profit pull-through rate was 51% and our full year operating profit pull-through rate was 50%. After adjusting for the unfavorable impact of acquisitions on pull-through, we surpassed our 2011 goal of 50% or greater pull-through at a comfortable margin. WESCO has two primary ways to invest in our business. In addition to investments that expand and strengthen our organization, we were also increasing our fixed asset investment rate. Specifically 2011 saw increased investments focusing on establishing new branches, expanding existing branches, and improving our information systems. In 2011, our capital expenditures were $33 million, up $18 million over the prior year reflecting the impact of each of those expenditures. We firmly believe our investments in people, technology, and facilities are paying off and we expect to continue these internal investments to support the growth of both our sales and profitability. Our fourth quarter effective income tax rate was 31.1% compared to the 21.1% rate in the fourth quarter of 2010. For the full year 2011 our effective tax rate was 29.8%. Net income for the fourth quarter increased to 57.5% to $54.8 million and resulted in an EPS of $1.12 per share on 49 million fully diluted shares outstanding. This compares to reported net income of $34.8 million and an EPS of $0.72 per share on 48.3 million fully diluted shares outstanding in the fourth quarter of 2010. For the full year, net income was $196.3 million, up 69.9% from last year’s net income of $115.5 million. EPS for 2011 was $3.96 per share on 49.6 million shares compared to $2.50 per share on 46.1 million shares in 2010. The net income increases for the quarter and full year are well above our goal of increasing net income by 20% to 25% per year. Free cash flow for the fourth quarter was $86.4 million compared to $46.8 million in last year’s comparable quarter. For the full year, we have generated free cash flow of $134.2 million or 68% of net income compared to $112.2 million in 2010. During 2011, we made improvements in our inventory management with increased inventory turns, and focused our working capital investments to support this strong double-digit sales growth; we delivered in all four quarters of 2011. On average, all in cash borrowing cost including commitment fees for the fourth quarter was under 4.4%. Liquidity, defined as invested cash plus committed borrowing capacity was $511 million at the end of the year compared to $338 million at 2010 year-end. This increase in liquidity was primarily due to a reduction in debt using our free cash flow, and the impact of more favorable terms in our new inventory revolver. Our financial leverage ratio at year-end was 2.3 times total par value debt to EBITDA, which compares very favorably to last years ratio of 3.9. This result reflects our second lowest reported leverage ratio in our history as a public company. We are well within our targeted leverage range of 2.0 times to 3.5 time par debt to EBITDA. I would now like to turn to our outlook. Our current view is that our first quarter organic sales growth will somewhat exceed our full year expectation of 5% to 8% said in our August Investor Day. We currently anticipate first quarter organic sales growth of 6% to 9% over last year’s first quarter and flat to down 3% sequentially. In addition, we expect 1.9% positive impact from acquired sales. Our sales forecast assumes stable sequential prices in foreign exchange rates versus comparable period. Gross margin expansion will continue to be a priority. However, we expect to see first quarter gross margin at a level more consistent with our gross margin realized in the first quarter of 2010. And so we expect first quarter gross margin to be at or above 20.0%. We expect operating margin to be at or above 5.0% and an effective tax rate in the range of 30% to 32%. For our full year, we continue to believe that the pace of economic recovery will be slow, extending over to next several years. We are well positioned to grow in a slow growth market, and our outlook is positive as we enter 2012 with good overall momentum. We outlined our 2012 outlook in our August Investor Day, and we are maintaining that position. We expect 2012 sales growth to be in the range of 7% to 11%, and are targeting for at least 2 points of this growth to come from acquisitions. Consistent with our Q1 forecast, we are targeting a combination of gross margin expansion, and operating cost leverage to expand operating margin by approximately 40 to 60 basis points above our 2011 level. But currently anticipate being at the low-end of this range in 2012. Our 2012 effective tax rate is expected to be in the range of 30% to 32%. Investments in fixed assets are expected to be at level similar to 2011. This has historically been a very strong free cash flow generation business. Based on our current sales growth and investment outlook, free cash flow and net income is expected to be at or above 80% of net income for the year. I would now like to open up the conference call for your questions.
Dan Brailer: Operator?
Operator: (Operator Instructions) And our first question will come from David Manthey of Robert W. Baird. Please go ahead.
David Manthey – Robert W. Baird: First off and I got on you a little bit later, I apologize I was on hold for while. But the gross margin upside, I was wondering if you could talk about the components there, I apologize if you already did, but can you just breakout what the mechanics of that 20.6% gross margin was, where was a surprise concentrated?
Richard Heyse: We had great execution from our teams in the fourth quarter. And as noted in the script that execution drove very strong supplier rebate rates as we achieved growth targets. And also the mix of orders that we had were really strong. And overall, I think it will drive us through the 20.6% of just solid execution across the business.
David Manthey – Robert W. Baird: Okay. And were there any unusual reversals or inventory adjustments, anything else that impacted the number or was it purely just operations and rebate experience?
Richard Heyse: If there were any adjustments we would have call them out, it was pure operations.
David Manthey – Robert W. Baird: Good, okay. And second, a real nice recovery in the utility segment, but I am wondering in terms of the breakdown there. Can you just talk about how much of that is just a general increase in investment that you are seeing versus any impact from weather recently or are there any new contract wins in there, where you’ve taken business from another distributor?
John Engel: Dave, yes, good morning. Well first, I would say we were encouraged with how utility performed in second half of 2011. We went into the year thinking it would improve and it’s good to see it growing and returning back to double-digit growth in the third quarter and very strong results in the fourth quarter. The results were balanced, you will recall that we take our customer segments and we break them into three groupings Investor Owned Utilities as one, Public Power is another, and then what we call Utility Contractor specialized contractors that serve the utility market. And we had growth in all those, it was nice, it’s good to see the nice balance growth, it was across all three contribution. So that was encouraging to us. And I’d say it also we had some nice projects, but we also saw some increase in spending in just maintenance. What’s occurred is, 2011 we have energy demand now increasing again thereafter being down two years in a row and in 2009 and ‘10 that is. And so, I think that’s just clear and that was our outlook as we kind run-through 2011, and I think its manifesting itself in increased spending. Fundamentally, we see the utility market is kind of a shape of this recovery being transmission lead ultimately flows through in the substations and distribution. And, we’re more -- we are biased towards distribution in terms of our mix, but -- and so that’s fine. But I think what we were encouraged was with the results we’re seeing. In terms of wins, we’re not going to callout any specifically, but we feel very good about how we’re performing on competitive bids in the market in the second half of 2011.
David Manthey – Robert W. Baird: That’s great. And, just lastly quickly on, it sounds like trends are pretty good and that’s what we’ve been hearing, but some comments out of Eaton this morning talking about delays from U.S. costumer seemed little like an outlier to me. Is there anything in your order trends backlog that would indicate that that is an emerging trend?
John Engel: We didn’t see that in our performance or execution in the fourth quarter. Now, backlog we did ship some orders out of backlog and so our backlog at the end of 2011 is up 7% over the end of 2010, but we did -- backlog came down a bit in the quarter. That’s more our typical pattern day. If you go back not the last few years but before that, we didn’t see any effect like that. In fact, you know we kind of went through the quarter, we had very strong results through the entire quarter in and through December. And that’s what really drove our out performance, which is what our expectations was on the top line in the quarter.
Operator: And our next question will come from Deane Dray of Citi Investment Research. Please go ahead.
Deane Dray - Citi Investment Research: The first question relates to the comment that you made around leverage and where you stand at, is it at the low end of the range and what this implies on the M&A outlook. And I just would point out you have done five deals in 18 months and you are still at the low end of leverage and you have actually increased liquidity. So it begs the question from our understanding of the market, there are -- this is so highly fragmented and you have got lots of choices about how you want to proceed in terms of geographic expansion or products mix. And just kind of rank for us where the priorities are, because you certainly have the balance sheet flexibility and remind us of what the management capacity is to integrate more transactions.
John Engel: Thank you, Deane. Thanks for the great summary. Two years ago on our first Investor Day, we framed up a top line growth target for three years and we broke it into an organic piece and acquisition. We had outlined 2 to 3 points a growth per year due to acquisitions. And then we maintained that as a notional target in our 2011 Investor Day, and we are well in excess to that. To your point over the last 18 months, we have done five acquisitions over the 18 months so roughly $460 million in sales. You look at that on the percentage basis its well north of the number that we targeted. And the market as you have outlined clearly we continue to see very a fragment market. I think what's different for us to date, is we added resources, dedicated resources. We did that 18 plus months ago, we've got a rigorous process. We have always been a good acquirer, but these resources are -- dedicated resources are remaining in place as we move to the 2012 plan. And I would say the pipeline very robust. The fact that our leverage ratio is at the low end of our band of 2 to 3.5, we were very encouraged by that, and the fact that it’s the we are after the five acquisitions -- what really drives that is the EBITDA growth. And so, I think we are -- the strategy is working. The execution is what we’re pleased with at the end of 2011, and we entered 2012 with the market very fragmented. We have dedicated researches in place. To your point, we have good flexibility, very robust pipeline. And we’re going to continue to look at acquisitions for far-out in our strategic planning horizon add value to the company. In terms of the last part to your question, which is what types of acquisitions, I would say more of the same. When you look at those five acquisitions we did, which were very good about them, by and large they are not electrical pure it’s like distribution company that we’re just kind of rolling up lately. In virtually all cases they kind of expanded our product and service portfolio or expanded supply relationships. And, in the case of Brews Supply, it gave us some real nice strength in Canada in some end markets that we were not as strong in i.e., particularly utility. So, and then the TVC acquisition, I think was very strategic in terms of building up $1 billion plus communications a kind of run rate for data and broadband. So, I think as we enter 2012, we remain as bullish as we have been on the acquisition opportunities.
Deane Dray - Citi Investment Research: And then, just within those the deals that have been done and I’m not sure Richard has this upper size number, but what’s been the organic growth characteristics of the deals this year? And then, on TVC we are now anniversaried, and how did that standup to the original $0.30 secretion target?
Richard Heyse: Hi Dean. Well, if you look at the acquisitions and combination, they are meeting or exceeding the targets that we set out for them in our acquisition models. As far as, we’re not going to breakout the exact EPS impact. But again, on the EPS impact that we announced in each of the press releases more trending at or above that combined impact.
Deane Dray - Citi Investment Research: Great. And then just my last question relates to the commentary the guidance commentary regarding 2012. And it was extraordinary that you gave 2012 guidance in August of last year during what had to be the real peak of the market uncertainty with the macro issues in Europe. So, now we’re looking more specifically at 2012. If we take the midpoint of sales guidance and tax and then the low-end of operating margin guidance, we can get to 470 pretty easily. And, I just want to make sure that even though you’ve not given an EPS data point, does that put us in the right planning?
John Engel: Yeah. Dean, good summary, I think here is a way we would look at it. When we had our Investor Day in August of 2011, we did outline what our targets were for 2012. And we are very encouraged that we outperformed our expectation for the balance of the year on post-Investor Day. And what we want to signal very clearly here in our Q4 earnings release as we enter 2012 is, the incremental that we laid out the kind of the value creation growth fees ‘7 to ‘11 with a margin expansion, that work is remaining intact in place off the 2011 base.
Deane Dray - Citi Investment Research: Great to hear.
John Engel: In 2011 base, we outperformed what we thought in the August Investor Day.
Operator: And our next question will come from Adam Uhlman of Cleveland Research. Please go ahead.
Adam Uhlman - Cleveland Research: I guess first with a question on the gross margin. I guess why would in the guidance for 2012 rebates are expected to be a head win to the margin rate even though we had a benefit this year and the volume outlook is pretty good for next year. Richard, can you just walk through that quickly?
Richard Heyse: Okay. I think we would touched on the phone on previous calls that just to achieve kind of the nominal rebate rate, which is about 1%, we have to have mid-single digits growth rate. And what happened in both this year and last year, particularly in the fourth quarter was a number of our rebate programs have growth kickers that if we reach a certain growth threshold often in the teams, then the rebate rate goes up and applies backwards to all purchases in the year. So again, as John mentioned, we had a very strong December this year similar to last year with increasing momentum in November and December. And so that resulted in recognizing much stronger rebates for the year. But again, with the sales outlook we have this year that 7% to 11% total that that would drive the rebate rate more consistent with the norms, which is about 1%.
Adam Uhlman - Cleveland Research: And the ‘7 and ‘11 includes five-date organic?
Richard Heyse: Yeah. And, the ‘7 and ‘11 is included yeah it’s a five-date organic. So, what were the rebates we are expecting then to revert back to more traditional levels in 2012.
Adam Uhlman - Cleveland Research: Okay, I got it understood. And then, capital expenditure is pretty low for you guys but it was up quite a bit this year, and I think you mentioned that it supposed to be similar to what we saw in 2011 and 2012. I guess conceptually, can you just talk through the investments that are being made or there is obviously some more brands filled up that are expected to happen, but there has been more distribution investments that need to be made or just some more color or commentary there would be great.
John Engel: You recall that in our last Investor Day Steve Van Oss in his presentation had a slide that talked about investing in capacity and capability and it talked about sales force, it also talked about locations. And so, again, part of our growth strategy and go through it in this recovery and in this period that we have articulated few years is we are expanding, and investing in facilities and footprint and points of presence. We have couple new facilities in the U.S. in major metro markets, Dallas and Chicago namely and also very large new distribution centre than in fact will be WESCO’s largest distribution centre of our entire network that is in Toronto that is essentially going live in this quarter and will be operational. So that will be a third major distribution center that added to our DC network in Canada. We got potentially a few DC model now for us. And again, in terms of square footage and capability it will be on largest. So that’s an example, Adam, of some of the investments we have made.
Operator: And our next question will come from Ajay Kejriwal of FBR Capital Markets. Please go ahead.
Ajay Kejriwal - FBR Capital Markets: So, very strong organic sales performance, nearly 15% could you may be part this out in terms of how much of that from just left in the market, I guess not much but it would be helpful to get some color on that versus the work that you are doing on a account penetration et cetera?
John Engel: So look, there is no precise source that led in the market, there is not one single source of truth at you are hearing with market results are. And I think a good way to look at it and the way we look at it, we look at it a variety of sources, we look at it just data, we look at you know in all McGraw-Hill Dodge on construction. We look at our major suppliers and then we look at a number of different investor peers that we may or may not compete exactly. We look at Granger for industrial, we looking at [nxtra] for Datacom, We are looking great (inaudible) and Rexel kind of broad based electrical etc. So that how we look at it. You have seen Granger’s number, you have seen a number of our supplier partner numbers Coopers, Thomas & Betts is out, you got Coopers out, [Eaton] is out, Hubble is out and has released. [nxtra] is not out yet. And so that’s we will get numbers on Rexel and [Graybar] shortly. So I think that’s how we look at it. I think when you look at these numbers, Q4 and even if you look on a full year basis, we feel very, very good about, our performance versus the market. It’s very strong and we feel better about that I would say is the balance, because when you look at the fourth quarter, it wasn’t one major end market carrying the day. We had doubled digit growth in industrial, we had double digit growth in construction, we had double digit growth in utility, our double digit growth in CIG. And for construction, using McGraw-Hill start data in the aggregate, and we are talking essentially, I am going around it, but if you're talking essentially $400 plus billion expand in the US that’s non-resi and resi in 2011. Resi did about 120 so lets take $300 billion of the $420 billion in starts in the US in 2011 the non-residential can what they called non-building. That's down mid-single digit in 2011 based upon McGraw-Hill’s latest report and we were down double-digit from 2009 and '10. And so we feel really good about our performance against the end market, using these variety of sources.
Ajay Kejriwal - FBR Capital Markets: Good, and then just on the EBIT pull through obviously, you've done a great job in ’11. As you look to make these growth investments, new branches, distribution center etc, maybe talk about growth investments versus what could be the potential impact on the pull through and on your SG&A.
John Engel: But I tell you, we think about it, so far its working but we think you need to kind of earn in the right to invest and if you invest and you execute well, you can earn the right to invest and grow. and so, to the extent that we can deliver very strong top line growth, it positions us to even increase our investments, if we are confident that we are executing well and we are getting a good return on that investment. So our operating profit pull through construct is kind of control variable and we look at it on a core basis right, incremental gross margin pull through to the operating margin being approximately 30 percent or greater is the target over the mid to long term is one of our planning construct, is kind of our control algorithm. So if we grow faster you know we are going to get better pull through it enables us to put us in a position in the next couple quarters, we feel confident, we get good return, we'll increase our investments further. And I think what you are seeing, we would argue, when you take 2009 as a base, and 2010 by quarter to 2011, you are seeing that manifest itself in our results. We've maintained the 50% pull through as the target and then you see the strong execution top line growth, gross margins are expanding incrementally and we get very good pull through and then operating income and an net income and EPS expand very strongly. So the investment takes the form of, to your question, kind of sales force, new locations, and its not just headcount, some incremental CapEx, but we are still not in CapEx intensive. I mean in Richard's script is numbers where we went from little under $20 million a year in CapEx and in 2010 to $33 million in 2011. That’s a significant increase but you know those of our long run historical norm we talk a little typically been around $25 million, it's within $6 million -$7 million, $8 million dollars above what our maximum CapEx was in the given year. We are very confident though we are going to get a great return on that. This new distribution centre in Toronto, and we are very bullish on. And our Canadian business has been performing well, so hopefully that gives an insight.
Operator: And our next question will come from Steve Tusa of JPMorgan. Please go ahead.
Steve Tusa - JPMorgan: How fast did your lighting business grow on the quarter? Did you guys already disclose that?
John Engel: We did not talk about that yet but what we did in put in our supplemental, was a kind of a mix of our by end market products again of a '11 versus 2010, but I will share that with you. Lighting we had very nice growth, it was approximately 9% growth in the quarter and on a full year basis, it was nicely double digit and approximately 13% - 14% range so. And I didn’t mention it but we are seeing nice traction with series of lighting retrofit projects.
Steve Tusa - JPMorgan: In the industrial business, that was just kind of very run of the mill question but how did kind of the quarter sequence for you guys? I mean were there any periods of slowing was there any modulation in kind of growth rate, October, November, December and then in January?
John Engel: No, what I would say is that October, November, December in the quarter we hit our expectations. We did not see the normal seasonality which is what we had expected quite frankly going into the quarter, and what we talked about in our last earnings call, we did not see the normal seasonality in December. We had very strong results through the quarter, including through the end of the December.
Steve Tusa - JPMorgan: Is that a reflection on the macro, or I mean you guys always taking share about what’s --
John Engel: I wouldn’t -- I don’t know how to -- I wouldn’t want to make a macro call on that necessarily, I mean we can share our results, that’s our result. We are encouraged by it. I don’t think we personally have a good feel, did the macro really do that. We know what we are doing with our industrial customer base, we see the sales as we -- by day by week. It was strong. I can tell you this, which is it isn’t a December and it isn’t necessarily Q4 trend. It's what we're seeing in general 2011 as we move into 2012 on the industrial front. Notable trends are outsourcing. Customers, I mean, in there and are spending CapEx as opposed to adding headcounts by and large and they have much higher expectations, and just really focused on industrial for the process improvements or the supply chain and savings. So, our One WESCO and our Lien value creation is increasingly getting traction because of the value add that we can bring to them.
Operator: Our next question will come from Matt McCall of BB&T Capital Markets. Please go ahead.
Matt McCall - BB&T Capital Markets: So looking at the organic growth outlook a little bit you've given a lot of detail about kind of market share versus market growth, but talk about may be by segment what the market assumptions are in the guidance from the organic growth perspective.
John Engel: We typically don’t put ranges or numbers on but I'll give you how we're thinking about it, if that makes sense. We think the industrial end market continues to grow in 2012, albeit at a slower rate. In terms of end market versus what we experienced in 2010 and 2011, and we think it still continues to grow. And obviously it's our goal and objective to try to outperform that. For construction -- we're obviously non-residential construction driven, for construction we think we are in the bottoming process. I mean, but our view overall is this is going to be a long protracted recovery period. And so, we do not expect significant tailwind by any stretch in the construction end markets in 2012. We are hopeful, and it is our view, we are hopeful that the headwind that we've been facing kind of turns into no wind and may be it’s a slight breeze of a tailwind as we move through 2012 into 2013, but we think if it grows its going to be very low single digit growth in terms of end market in 2012 and may be starting to pick up going into 2013. We think utility will continue to start to perform -- continued recovery let's say. We thought it would start in the second half of 2011, we think that continued, but its going to be transmission led clearly. So we don’t expect that the distribution part of the spend is going to see significant growth end-marketwise, end-marketwise in 2012 or even early part of 2013. Now, again our goal is outperform both on the construction and utility. And then for CIG it’s a number of different segments but for government there's still some significant amount of stimulus funds left. And we're still focused on that. So, of all targeted areas that are ARRA funded and the targeted areas are roughly $70 billion of spending, the remaining amount to be spent is still little over 30% of that $70 billion. And for the DOE Smart Grid programs, the amount of -- of the total that was allocated we're just north of 50% mark has been spent to-date. So, I think CSC plus CVC and our One WESCO initiatives will position well to continue to participate in stimulus driven projects, and we've talked about that in the past couple of quarters.
Matt McCall - BB&T Capital Markets: And still on that note, John, I think you've spoken on the fact about rotating resources to address the growth. Is there an effort that thinking about you're pursuing now that there's still growth left but obviously some of that stimulus dollars, I know you've thrown a lot of resources at it and you started the rotation of those resources towards whatever the next growth category is going to be?
John Engel: The resources that we hired to support our government and stimulus efforts were very -- let's call them had domain knowledge and some specialization and we still see our opportunity to take significant growth in government but because of our small share position. And so, we've see that government is going to cut spending to some degree. How big that number, even if it was 10% if you do the math on it is a huge number. And that even well, is that possible. Look at how much non-resi construction has been dropped in the last two and a half to three years and look at what we've been able to do in terms of performance. So, we haven’t -- well, we've got our government team is intact, it is all about execution, large fragmented market, lot of opportunities, still a lot of spend we're going after.
Operator: Our next question comes from Matt Duncan of Stephens. Please go ahead.
Matt Duncan - Stephens: The first I've got is really with regard to the tone of conversations you've been having with your customers recently. Have you noticed any change in the outlook from your customers for their businesses in 2012 either for the better or for the worse, or is it a pretty consistent year?
John Engel: I think it's consistent. The only comment we'd make is the customer trends that we mentioned. I think they're there; they're fighting well, and with some customers they are kind of increasing a bit. Selectively, a few customers, we won't call out any specific industries have -- are seriously considering some reshoring activity. And, they’re making decision about will they increase their manufacturing. Can you call it reshoring? I mean they’re seriously looking as to that occur in North America, basically outside North America. I wouldn’t call that a major trend yet, but with a number of customers we’re seeing some potential indication of that that could be potentially a possibility, we will see how that plays out.
Matt Duncan - Stephens: Okay. And then secondly, looking at your guidance for the first quarter, you’re guiding to 6% to 9% organic growth, January is up double-digit so far. One, how much is price helping in January, because I know your guidance for the quarter doesn’t include any benefit from price. And then also, you got an extra selling day in the quarter versus the fourth quarter. Historically, fourth quarter to first quarter is pretty flat, but with the extra selling day I’m just curious maybe why the growth rate wouldn’t or why the number wouldn’t be up sequentially. I think the guidance is flat to down 3%?
Richard Heyse: Typically January and February are slowest months of the year, that’s when the weather is the most severe, and it slows construction down. And then, March picks up very strongly. We had really strong March in 2011. So if you look at the comps in the first quarter, the March one particularly there is a strong comp that should be -- so I think overall our guidance takes that into account. And there is one different workday in the quarter, and that’s something that you take into account when you look at our organic growth rate.
Matt Duncan - Stephens: Okay. And then the last think I’ve got is on your leverage ratio; it’s now fallen to 2.3 times. I think you guys have said when it falls below the 2.0 times ladder mark that you might look at how you return cash to shareholders, sort of update us on where your thoughts are with regard to the mix of how you might approach that if and when it does fall below 2 times. And obviously, I am pretty sure you’re going to be making acquisitions, but even though you’ve been making them the leverage ratio is still been falling. So, I’m hoping can you just give us a bit of an update about it?
Richard Heyse: No, look we have given a frame of 2 to 2.5, we’re trending down to the low-end, it’s moving a little faster than we thought, we’re encouraged by that. If we -- well, if and when if and when we tick below two because it’s going to be a function of how we perform in additional acquisitions we do clearly over your conversation. And we have to be under two for some material period of time, and we have to continue to be trending stronger down under two, staying there, and then, then what their acquisition pipeline looked like. So, we trend under two for a quarter, we’re not going to say okay immediately, we’re going to take this action. We’re much more profitable taking more mid-to-long range view of the business. So, we will keep you apprised of that. We’re encouraged towards Q3. The acquisition pipeline is robust; we’re working it hard. If we fall under two in the acquisitions they don’t materialize, and we’re there for some sustained period of time, we will be thoughtful about how the best returning capital to shareholders.
Matt Duncan - Stephens: Right. But do you have any thoughts generally maybe a preference between a buyback or a dividend or if you have not even gotten there yet?
John Engel: So, I wouldn’t I wouldn’t want to even give any indication on that yet because I think we’ve been very clear about what our value creation priorities are, which is driving organic growth above market plus accretive acquisitions, number one. Number two, very large still a very fragmented market. Given those two points I don’t want to comment about hypothetically every quarter, you shouldn’t stay under two, basically out because that’s not consistent. Falling under two and staying under two is not consistent with how we’ve executed the last couple of years it’s not consistent with how we’re trying to strengthen the franchise.
Operator: And our next question will come from Josh Pokrzywinski of MKM Partners. Please go ahead.
Josh Pokrzywinski - MKM Partners: Just trying to calibrate some of the margin color for 2012, should construction prove to be a bit more of a tailwind and then a light breeze? How should we think about that from a mix prospective? I would imagine that this supplier volume rebates maybe have a lower water mark there then some of your other end markets which will have a bit healthier recovery today?
John Engel: You are correct Josh. If you look within our construction segment there the products that we sell, in the shipment side, the overall rebate rates are lower, and we also discussed in our filings, rebates range plus or minus 15 basis points, so around 1%. And I think overall if construction becomes a tailwind also the overall economy would be improving. So we would be expecting to see more tailwinds in other segments also.
Josh Pokrzywinski - MKM Partners: Perfect sir. And then, just one more on the January update, any specific end markets or product lines that have been near term outperformers relative to your expectations? I know that’s only one month but just any kind of segmentation that would be helpful?
John Engel: Well, yeah first of all, it was so far in January. So, you have to take it’s x couple of days ago, we’re not closed January yet, we’re never liner. We’re encouraged by this start, and we don’t want to kind of give any color about end market or private category at this point. Because again we’re non-linear in any given month, and we will see how the month ends, and on the next call we will give that color.
Operator: And our next question will come from Steven Fisher of UBS. Please go ahead.
Brandon Verblow - UBS: Hi, this is Brandon Verblow in for Steven. My first question relates to the utility segment. You mentioned in the presentation that you expect distributions spending to grow I know that it’s a smaller part of the utility business, I am just curious about what gives you visibility that distribution spending is going to grow? What sort of indicators you might have to support that outlook?
John Engel: The fundamental, and really again when we talk about utility we talk about energy demand up overall, the macro indicator, and then we look at what our suppliers are seeing in conjunction with us and what our customers are seeing. And we’ve a very nice position in the utility market with our investor own, customers that we serve, and public power and it’s broadly distributed across the U.S. We’ve already got this nice kind of distributed utility business. It’s not stagnant in one particular region in the U.S. and then we serve the markets through this specialized utility contractor channel. So, there is a whole variety of signals that we get, we have unique inside and a few based upon the breadth and depth of our business. I want to be clear, though I think that energy demand was up in 2011 after being down in 2009 and 2010. We’re not signaling that we see distribution spend good spending spiking up dramatically. We do think its going to grow in low single-digits end market, end market, low single-digits in 2012, and that would be our expectation and we try to substantially outperform that.
Brandon Verblow – UBS: Okay. My second question related to pricing from some of the locally well known competitors there is Mom and Pops, what is the pricing look like, has it become more aggressive or have been some easing if that is more enough work to go around?
Richard Heyse: Well, we haven’t had this question today yet, I am glad you raised it. Look, I would say that we aren’t seeing any healing in pricing. We have topped for literally the last two years, in risk recovery cycle its not residential construction lead number one. Number two, there is still too much capacity versus demand, what do I mean by that there is still many, many contractors and distributors in the market that are kind of just hanging on to various degrees of strength that are and because that is not a resi-lead recovery they’re trying to bid own projects in commercial and non-resi in other areas where they haven’t necessarily played in the past, that spikes up the competitive intensity that spikes up the pricing intensity. It’s been a tough an environment we’ve ever seen in our history as a company, in the last two years. And that hasn’t changed that’s what we’re still seeing in current state, as we went through Q4 and then in 2012.
Operator: And our next question will come from Christopher Glynn of Oppenheimer. Please go ahead.
Christopher Glynn - Oppenheimer: Yep, thanks. John, I was wondering if you could give some color on how you look at your utilities' share gain? Taking the construction you had talked about, you guys ramping up your bid rates in the marketplace, industrial kind of feeling in the checker border around the national accounts, the utilities little more fabulous to me how that’s working for you but you talk about it, you know with similar expectations for some of our performances those are the verticals?
John Engel: Yeah, as tough as it is, they get one source of truth and what market data is and try to using a variety of sources as we prescribed earlier and today previously I would say utilities as well as toughest. To your point, and so they way we think about it, look at it is you know how feedback from suppliers and feedback from customers. Because we don’t -- there is some organizations and institutes out there, they will give general macro trends over the longer run but that’s not all that helpful to translate into how we really performing in a region with those customers. So that’s the best way we go about we don’t have a real good way to accurately access that. We get a general indication is again our relationship with suppliers with their own (inaudible) and keep in mind, a piece of the business is serve direct. So we always try to triangulate, particular supplier what we are serving direct through distribution, how are they performing with us through us versus the rest of their channel partners and we try to triangulate on that over time.
Christopher Glynn - Oppenheimer: Okay, and then question on SG&A. Seems like the core group relative to top lines startle back a little of the share, maybe just grew in a variable sense but didn’t need to reaccelerate in order to suspend share gain momentum there at all or you can sit for a little while?
Richard Heyse: No as I mentioned in my script, we are spending we are accrued in investor when it comes to SG&A and growing our organization and talent. I wouldn’t say we work to modeling anything back. We are just -- WESCO is known as being discipline financially. We are applying that discipline to our investment decisions. That I think if we look at our results those investments decisions are having a solid impact. And we are going continue John noted to keep the same recipe we have been using since we put in place since late 2009 and that recipe is clearly driving solid results.
Christopher Glynn - Oppenheimer: Thanks Richard. Just to clarify so 2011 organic SG&A that was above and beyond this variable?
Richard Heyse: Yes, we clearly made decision to investments and driver growth initiatives through touch down. We have our growth engines that and we were focusing on and our productivity initiatives and each of those growth engines and each of those productivity initiatives having a plan and we are actually executing the plan for each area.
Operator: And our next question will come from Ryan Merkel of William Blair. Please go ahead.
Ryan Merkel - William Blair: Yeah, thanks for fitting in today, just one question. Can you talk about the Datacom business in the quarter, how much they grow? And then with the system conversion behind you, did that help?
John Engel: Yeah, okay, Datacom grew 8% in the quarter, for Q4 and on a full year basis it grew 8%. So it was nice to see the return in growth in Q4. I will tell you that the conversion was completed at the very end of the Q3 and we are not back to post-conversion, no impact operating mode as of yet. I will tell you that. I mean we are encouraged with our Q4 kind of unfolded but we are not there yet, I think for some of the braches it takes more than two or three months, it may take four or five or six months. So I would suspect that we continue to kind of work down that learning curve in the front part of 2012. I will share with you that Datacom is off to a slow start so far in 2012.
Operator: And our next question from Anthony Kure of KeyBanc. Please go ahead.
Anthony Kure – KeyBanc: Hi, guys, just a couple of quick ones. On the pricing front again just saw the 2% price in the fourth quarter versus about 3.5 in the first three quarters, anything to look into what drove that? And I guess from the guidance perspective you are looking for about 3% full year. How does that rebound? Can you talk about that four quarter pricing impact?
Richard Heyse: I think the fourth quarter, there were less pressure from commodities but we continued to see some price increases relative to engineered products. And as said in our guidance we, that we are going attempt to try to forecast the market because just having try to forecast commodity prices.
John Engel: The only comment I would add, Tony, is we don’t forecast the price increase, that’s been our flagship. I’ll say what we see stacked up in terms of already announced or pre announced supplier price increases for Q1, which by the way that will represent entirely what is done because not everything is always telegraphed this far ahead at a time. But what we have seen in light of it, more of a general price increase kind of approach that would say is what we are seeing in the front end of 2012 the start of the year. Now, that could change in a given week, literally, but what we are facing into now that’s what we are seeing.
Anthony Kure – KeyBanc: Okay and just some context, John, you mentioned there is a backlog in the four quarter down, it was only 7% up versus mid-teens throughout 2011. You mentioned them last couple of years the fourth quarter sort of has been anomaly. What would be the normalized fourth quarter backlog percentage growth relative to this year?
John Engel: I don’t have a good number for that. I think Richard and Dan, that stuff than we probably ought to go.
Richard Heyse: We could look into that.
John Engel: Let us look into that. And I can say that in general, if you look at the general trending down single digits at some point, I don’t know if its high, mid or low single digits, its not double digit, but kind of like that. And the last two years though we were building backlog to exit the year which is not something we had ever really done. And so, it was unique. The more typical pattern is you would start as the weather kicks in the backlog will certainly increase in November, December, people wrap projects up and through the winter time and then the backlog starts building in early spring. Yeah, backlog again in winter and now then in spring the summer builds. The (inaudible) is like spring and summer builds.
Operator: Our next question will come from Noelle Dilts of Stifel Nicolaus. Please go ahead.
Noelle Dilts - Stifel Nicolaus: Building on the Datacom question we had a little bit earlier, could you give us some thoughts on your Datacom footprint? As it currently stands, you've been executing on the branch within a brand strategy. Are you content now with your Datacom footprint? Are you still looking to expand that through additional branch opening?
John Engel: We are never content, Noelle. You will recall Stephen Van Oss he came back in the Investor Day and in his presentation he laid out a page that showed the locations we added, and for Datacom he laid out 2009, '10 and '11. for '11 it was anticipated or expected. And we did that, we expected, we'd open up four additional locations in 2011. we did that for Datacom, we did for the branch within a branch and so, Datacom overall communications. So, we are not stopping. We typically don’t talk about what we are going to do prospectively but our communications team is still charged with expanding the footprint. I think we saw a lot of opportunities to do that. We are in a position now which is we've been in. We acquired TVC a little over a year ago with a $1 billion plus total communications portfolio position, data and broadband. We feel great about our portfolio, and we continue to work One WESCO, which part of that is branch with brand strategy. But when you look at our footprint versus the market opportunity and let's just say the other two large competitors we still have significant opportunity, but still in wide space. So, this is and we will for the next couple of years.
Noelle Dilts - Stifel Nicolaus: Okay, great. And then, can you give us an update on more detail on what you are seeing in terms of growth by geography and may be a sense of fourth quarter growth in Canada versus the US and then some of the other geographic markets.
John Engel: I will give this data point. US construction sales were up nicely double digits. It was a full year, so we were approximately 13%. Canada, on a full year basis, and this is on a local currency basis, again approximately is up a couple of points higher than that. So, our Canadian business is very strong. It's been performing very well for a number of years and consequently that’s why we were looking continuing to invest in it, both organically like BC and Toronto that I mentioned plus acquisitions the recent one is Brews. We, geographically when you look at our balance we feel very good about it, it's not a one country or one region driven set of results.
Noelle Dilts - Stifel Nicolaus: Okay, great. And then finally what share base that you are assuming for 2012?
Richard Heyse: Oh, yeah, we at the share count, again it is affected by the stock price and the converts. We you know we don’t project it because force it try to project what our share price going to be through the year.
Operator: And our next question will come from Hamzah Mazari, of Credit Suisse. Please go ahead.
Hamzah Mazari - Credit Suisse: Hi, guys, most of all my questions have been answered, thank you.
Operator: I'm showing no further questions in the queue. I would like to turn the conference back over to Mr. Engel for any closing remarks.
John Engel: Well, thank you all today for your time and your continued support. I know we went a little bit over, but we really want to make sure that we got every one in the queue. And I know that Dan and Richard are standing already if you have additional calls today, tonight and in for tomorrow. We were very encouraged by our positive momentum and our strong result last year and we're continuing to invest in our people and our business, and we remain focused on producing and pre share holder returns. Thanks again for all your support and we look forward to delivering another very strong year results in 2012. Have a great day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now discontinue.